Operator: Good day, everyone, and welcome to the FRP Holdings Inc. 2025 First Quarter Earnings Call. At this time, all participants are in a listen-only mode. Later, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's call is being recorded. [Operator Instructions] I'd now like to turn the floor over to Matt McNulty. Please go ahead.
Matt McNulty : Thank you, Jamie. Good morning. I'm Matt McNulty, Chief Financial Officer of FRP Holdings, Inc. And with me today are John Baker III, our CEO; David deVilliers III, our Chief Operating Officer; David deVilliers Jr., former President, John Baker II, our Chairman John Milton, our Executive Vice President and General Counsel and John Klopfenstein, our Chief Accounting Officer. First, let me run through a brief disclosure regarding forward-looking statements and non-GAAP measurements used by the company. As a reminder, any statements on this call which relate to the future are by their nature subject to risks and uncertainties that could cause actual results and events to differ materially from those indicated in such forward-looking statements. These risks and uncertainties are listed in our SEC filings. We have no obligation to revise or update any forward-looking statements, except as imposed by law as a result of future events or new information. To supplement the financial results presented in accordance with Generally Accepted Accounting Principles, FRP presents certain non GAAP financial measures within the meaning of Regulation G promulgated by the Securities and Exchange Commission. The non-GAAP financial measures referenced in this call are net operating income and pro Rata net operating income. FRP uses these non-GAAP financial measures to analyze its operations and to monitor, assess and identify meaningful trends in its operating and financial performance. This measure is not and should not be viewed as a substitute for GAAP financial measures. To reconcile net operating income to GAAP net income, please refer to the segment titled non-GAAP Financial Matters in our most recent earnings release. Any reference to cap rates, asset values, per share values or the analysis of the estimated value of our assets, net of debt and liabilities, are for illustrative purposes only as a reflection of how management views its various assets for purposes of informing management decisions and do not necessarily reflect the price that would be obtained upon sale of the asset or the associated costs or tax liability. Now for the financial highlights following our first quarter results. Net income for the first quarter increased 31.4% to $1.7 million or $0.09 per share versus $1.3 million or $0.07 per share in the same period last year. The company's pro rata share of NOI in the first quarter increased 10% year over year to $9.4 million mostly driven by higher contributions from our Multifamily, Development and Mining Royalty segments. Versus last year, the Multifamily segment contributed an additional $141,000 of NOI. The Mining segment contributed an additional $524,000 of NOI and the Development segment another $185,000 of NOI. It is worth noting that our Industrial and Commercial segment NOI decreased by $20,000 year over year due to the vacancy and uncollectible revenue as a result of a tenant that was affected during the quarter. Over the last three years, we have grown pro rata NOI at a compound annual growth rate of 21.8%. We anticipate that this growth rate will continue to slow in the near term as our current pipeline of projects in development, which includes our new Chelsea project, move through their respective construction and lease up phases and then begin to generate meaningful new NOI over the next few years. Earlier today, we posted to our website a brief slideshow of financial highlights for the first quarter, which includes, for illustrative purposes, an estimated value of our real estate assets, net of debt and liabilities. Again, we provide this information to reflect how management use its various assets for the purpose of informing management decisions and do not necessarily reflect the price that will be obtained upon sale of the asset or the associated costs or tax liability. I will now turn the call over to our COO, David deVilliers III, for his report on operations. David?
David deVilliers III: Thank you, Matt, and good morning to those on the call. Allow me to provide additional insight into the first quarter results of the company. Starting with our Commercial and Industrial segment, this segment consists of nine buildings totaling nearly 550,000 square feet, which are mainly warehouses in the state of Maryland. At quarter end, 85.2% of the buildings were leased and occupied. Total revenues and NOI for the quarter totaled $1.3 million and $1.1 million respectively, a decrease of 7% and 2% over the same period last year. The decrease was due to a 57,000 square foot tenant, which is 10% of this business segment, defaulting on its lease obligations and subsequent eviction in Q1 2025. Moving on to the results of our Mining and Royalty business segment. This division consists of 16 mining locations, predominantly located in Florida and Georgia with one mine in Virginia. Total revenues and NOI for the quarter totaled $3.2 million and $3.3 million respectively, an increase of 919% over the same period last year. As for our multifamily segment, this business segment consists of 1,827 apartments and over 125,000 square feet of retail located in Washington, D.C. and South Carolina. At quarter end, the apartments were 94% occupied and the retail space was 74.8% occupied. Total revenues and NOI for the quarter were $14.3 million and $8 million respectively. FRP share of revenues and NOI for the quarter totaled $8.3 million and $4.6 million respectively. This is an increase over prior quarters due to The Verge being included in this segment as of July 1, 2024. The Verge contributed $1.4 million and $753,000 in revenue and NOI this quarter. As a same store comparison, which includes Dock, Maren, Riverside, 408 Jackson and Bryant Street, FRP share of revenues and NOI for the quarter totaled $6.9 million and $3.9 million respectively, a revenue increase of 4% with NOI flat over the same period last year due primarily to higher operating expenses at Dock and Maren. As stated in previous quarters, new deliveries in the DC market will continue to put pressure on vacancies, concessions and revenue growth in the foreseeable future. Management continues to be diligent in tenant retention and rental rates in the market. We are pleased to have renewal success rates ranging from 47% to 75% with renewal rental rates trending over 2% on average in Q1. Trade out rates were slightly negative at our Greenville, South Carolina properties, and we saw negative trade out rates at our DC properties. Now on to the development segment. In terms of our commercial industrial development pipeline, our 258,000 square foot state of the art Class A warehouse building in the Perryman Industrial Sector of Hartford County, Maryland is complete and ready to accept tenants. Beginning April 1, the asset will move from development to the industrial commercial segment. This will impact NOI negatively until it is occupied and stabilized, where after the operating expenses can be passed through the tenants and we can receive rent revenue. FRP and Altman Logistics Partners entered into a joint venture partnership where FRP is a 90% owner on a 200,000 square foot Class A warehouse building in Lakeland, Florida. The construction loan and general contractor agreements are executed and vertical construction will take place in Q2 2025. This project is estimated to cost some $141 per square foot with $9 triple net rents. FRP and Altman also partnered on a two building industrial project totaling over 182,000 square feet in Broward County, Florida, where FRP is an 80% owner. The site is minutes from Port Everglades in the Fort Lauderdale Hollywood International Airport with frontage on I-95 accessing the Florida Turnpike and I-95. We are deep into the construction drawing and permit stage on this project. The construction loan and general contractor agreements are executed. We expect vertical construction to take place in Q2 2025. The project is estimated to cost some $327 per square foot with $20 triple net rents. In Cecil County, Maryland along the I-95 corridor, we are in the middle of predevelopment activities on 170 acres of industrial land that will support a 900,000 square foot distribution center. Off-site road improvements, reforestation codes and obtaining off-site wetland mitigation permits delayed our entitlement process. We expect permits in early 2026. Finally, we are in the initial permitting stage for our 55 acre tract in Harbor County, Maryland. The intent is to obtain permits for four buildings totaling some 635,000 square feet of industrial product. Existing land leases for the storage of trailers on-site helped to offset our carrying and entitlement costs until we are ready to build. We expect to submit our initial development plan in Q2 2025, which put this on track to have vertical construction permits in 2026. Completion of these industrial commercial development projects will add over 2.1 million square feet of additional industrial commercial product to our industrial platform, growing the business segment from 550,000 square feet to over 2.7 million square feet. As stated in previous calls, permitting, constructing and leasing the Perryman, Lakeland, Fort Lauderdale and the initial 212,000 square foot building in Hartford County is our focus and goal over the next three years. These four buildings represent over 850,000 square feet of new industrial commercial product with a total project cost of $146 million. When stabilized, these projects are expected to generate annual NOI between $8.7 million to $10.2 million with FRPH's share of NOI ranging from $7.9 million to $9.2 million. Turning to our principal capital source strategy or lending ventures. Aberdeen Overlook consists of 344 lots located on 110 acres in Aberdeen, Maryland. We have committed $31.1 million in funding, $26.6 million was drawn as of quarter end and over $19.1 million in preferred interest and principal payments were received to date. Our National Home Builder is under contract to purchase all the finished building lots by Q4 2027. 133 of the 344 lots were closed upon, and we expect to generate interest and profits of some $11.2 million resulting in a 36% profit on funds drawn. In closing, uncertainty around trade policy, the economy and financial markets has caused leasing activity to slow. However, rental rates remain strong, industrial space under construction has fallen below pre pandemic norms. And we expect market vacancies to top out in 2025, which should go well for demand and rent growth as we deliver our new industrial projects. In 2025, with the delivery of our 258,000 square foot Perryman Warehouse, we will have over 430,000 square feet of vacant or rolling over space in our industrial commercial segment, all located in Maryland. This has the potential to impact NOI in the short term, but will allow us to re tenant these spaces under current market rates, bolstering NOI upon lease up and occupancy. The average rental rate of the expiring industrial leases was $6.55 triple net and we are hopeful most of our new rental rates start in the 7% s or greater. We expect short term SOFR rates to remain stable for most of the year with a slight chance of a potential rate cut deep into Q4. We were able to take advantage of the treasury dip in March and locked in a 10-year permanent loan at a fixed 6.4% interest rate on our two office buildings. At Bryant Street, we will continue to watch the tenured treasury and debt spreads to see the more permanent and favorable debt structure is viable and accretive to our cash flow. It is our plan to continue to monitor these data points, assess the impact tariffs may have on steel, lumber, gypsum and other construction products and make careful, calculated and informed decisions moving forward. Thank you. And I'll now turn the call over to John Baker III, our CEO.
John Baker III: Thank you, David, and good morning to those on the call. Last quarter, we used this call to caution investors to tempo their expectations for NOI growth in 2025. We've been on a remarkable run fueled by new industrial projects as well as the lease up of three multifamily projects that's resulted in a 21% compound annual growth rate for NOI since 2021. Despite the positive first quarter results, i.e., a 32% increase in net income versus Q1 2024 and a 10% increase in NOI compared to the same period last year, same factors that led us to caution our investors, are evident in our first quarter results. Most of the income and NOI growth came from increases in mining royalties, interest income from our lending ventures, improved occupancy at The Verge. The project is now stabilized in the first quarter of last year. Industrial NOI is down compared to last year from vacancy at our Cranberry Business Park. And will take a further temporary hit on our newest spec industrial building is added to the segment in second quarter. And these buildings have real operating expenses that will negatively impact NOI until we get those spaces leased and occupied. Starting in the second quarter all our multifamily assets were then stabilized for full year to the NOI bump you experience this quarter from the final visibility step The Verge. It will be difficult to achieve organic same store growth particularly as we compete with the number of new projects coming online in Anacostia submarket at DC. We’re pleased with this quarter’s results, but continue to caution our shareholders to expect flat to slightly negative NOI results overall in 2025, since the temporary headwinds were up against maybe too heavier lift from mining royalty to offset. Our focus in 2025 is to set the company up for our next stage of NOI growth. We will do that in part by getting Cranberry and Chelsea fully occupied. But mostly, it means putting money to work in new projects. As David mentioned, we have closed on the construction loans for both our industrial JVs with BBX and anticipate breaking ground in the second quarter. We will continue entitlement work on our industrial pipeline in Maryland in order to be shovel ready in 2026. And we anticipate bolstering that pipeline with an additional land purchase and or JV this year. We remain on track to deliver three new industrial assets every two years with the goal of doubling the size of our industrial segment over the next five years. As mentioned last quarter, we anticipate getting construction this year on two multifamily projects, the first in Gainesville and the second outside Fort Myers, Florida. These two projects will add eight ten units and estimated $6 million in NOI upon stabilization. No CEO wants to pour water on a positive quarter, but we have never been a quarter to quarter company. Our focus is and has always been growing the value of the company over the long term. Our shift in strategy is essential to that, and we expect 2025 to be the year of growing pains in that shift. We count ourselves extremely fortunate to have an investor base with the same long term view for capital appreciation that we do, but we certainly don't take it for granted. I'll now turn the call over to any questions that you might have.
Operator:
John Baker III: We appreciate your interest and investment in the company, and this concludes the call.
Operator: Thank you. Once again, ladies and gentlemen, that will conclude today's call. Thank you for your participation. You may disconnect at this time, and have a wonderful rest of your day.